Operator: Greetings, and welcome to The Container Store Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Caitlin Churchill, Investor Relations. Thank you, Caitlin. You may begin.
Caitlin Churchill: Good afternoon, everyone, and thanks for joining us today for The Container Store’s third quarter fiscal year 2022 earnings results conference call. Speaking today are Satish Malhotra, Chief Executive Officer; and Jeff Miller, Chief Financial Officer. After Satish and Jeff have made their formal remarks, we will open the call to questions. Before we begin, I would like to remind everyone that certain matters discussed in today’s conference call are forward-looking statements relating to future events, management’s plans and objectives for the business and the future financial performance of the company that are subject to risks and uncertainties. Actual results could differ materially from those anticipated in these forward-looking statements. The risk factors that may affect results are referred to in The Container Store’s press release issued today and in our annual report on Form 10-K filed with the SEC on June 2, 2022, as updated by our quarterly reports on Form 10-Q and other public filings with the U.S. Securities and Exchange Commission. The forward-looking statements made today are as of the date of this call, and The Container Store does not undertake any obligation to update their forward-looking statements. Finally, the speakers may refer to certain adjusted or non-GAAP financial measures on this call. A reconciliation schedule of the non-GAAP financial measures to the most directly comparable GAAP measure is also available in The Container Store’s press release issued today. A copy of today’s press release and investor deck may be obtained by visiting the Investor Relations page of the website at www.containerstore.com. I will now turn the call over to Satish.
Satish Malhotra: Thank you, Caitlin, and thank you all for joining our call today. I’ll first discuss the highlights of our fiscal Q3 performance and Q4 expectations, and then update you on our strategic initiatives. Jeff will then review our financial results and outlook in more detail. As we anticipated, the third quarter continued to be impacted by ongoing macro-related headwinds, which led to a decline in customer traffic and transactions year-over-year. However, we are pleased to have delivered both top and bottom line results above our expectations, thanks to our incredible customer service, compelling Holiday Shop and Preston product offering. We also benefited from a slight pull forward of our transform with Elfa event. Consolidated net sales declined 5.6%, and we delivered adjusted earnings per diluted share of $0.08 compared to $0.28 in the prior year. We remain encouraged by the performance we continue to drive in Custom Spaces. On a comparable store sales basis, Custom Spaces increased 2.1% compared to the prior year as a result of strength in our Preston and Elfa offerings. General Merchandise on the other hand, decreased 7.1% on a comparable store sales basis to the prior year, which once again reflects customers pulling back on their discretionary spending unless they’re provided with a compelling reason to shop. This was evident during our Q2 back-to-school event and remains the case in Q3. For example, our customers responded positively to our Holiday Shop, which featured an incredible assortment of stocking stuffers and holiday wrapping. However, they were less engaged with our more traditional kitchen assortment, which was featured at the front of our stores. Despite the softness in general merchandise categories, our stores continued to provide an air of excitement delivering exceptional service for our customers, resulting in a retail Net Promoter Score of 80, an increase of 2 points from the second quarter. Before I provide more detail on highlights from the quarter, let me briefly touch on the Q4 backdrop assumed in our outlook. As you saw from our Q4 guidance, we assume an intensification of the macro headwinds that we saw in Q3. This assumed intensification includes a further decline in General Merchandise and a decline in Elfa Custom Spaces as a result of customers purchasing fewer spaces. There are also 2 unique to the quarter headwinds reflected in our outlook. First, last year’s 2/22/2022 promotion, which supported the launch of our new branding campaign Welcome to The Organization resulted in record sales driven by a significant marketing investment. Jeff will discuss in more detail by not anniversary in this event, we expect a headwind of over 200 basis points to sales growth in the fourth quarter. In addition, we anticipate a headwind of over 200 basis points in the fourth quarter from the discontinuation of the Closet Works wholesale business, which will continue to experience through Q2 of fiscal year 2023. As a reminder, we strategically discontinued the wholesale business to make our premium wood-based offering Preston exclusive to The Container Store. Our priorities in the near-term will remain focused on profitability and positioning The Container Store for healthy long-term growth on a path to $2 billion in revenue. We will remain diligent with our expense management, while continuing to invest in our strategic initiatives, including new store growth, and infrastructure investments focused on strengthening our foundation and enhancing our capabilities for the future. Now, let me turn our discussion back to the third quarter, and the progress we continue to make with our initiatives focused on deepening our relationships, expanding our reach and strengthening our capabilities. First, on deepening our relationships. As I mentioned, we are motivated by the level of customer engagement we continue to cultivate, especially during moments in the quarter. While we were pleased with the customer response to a curated holiday assortment of stocking stuffers and gift wrap, which performed better than general merchandise overall, we weren’t disappointed by the results of our front-of-store kitchen spotlight and the opportunity to infuse more innovation, freshness and seasonal relevance next year. With that in mind, and with the recent addition of a new Chief Merchant, we plan to refine our assortment in all categories to consistently create way to surprise and delight our customers with fresh and complementary product to the storage and organization category. For example, we see an opportunity to expand on our complementary consumables in the home fragrance and plant-based cleaning categories, which are resonating extremely well with our customers. Additionally, we are thrilled with an early customer response to the expansion of our private label Everything Organizer Collection in late December, which has been featured at our front-of-store spotlight. This versatile line of clear solutions was designed with professional organizers, who helped us develop unique solutions like our new stackable egg drawer, which includes the drawer for easy access to 18 eggs and our deep turntable with removable bins to accommodate larger items, both of those SKUs a standout in early sales. We’ve also made solid progress in the first year of our Organized Insider loyalty program, with more than 120,000 insiders cheering up in Q3. In fact, the month of December so nearly 47,000 insiders tear-up, the greatest number of customers to do so in 1-month since our program launched in March of 2022. All levels of the program continues to have a higher than average ticket with loyalty members spending approximately 60% more than non-loyalty members and top-tier experts spending an average of 5 times more than entry level enthusiast through the end of the calendar year. We have been building momentum with this group of valuable customers to keep them engaged, holding a successful virtual event for them in Q3, and extending exclusive new benefits for the new year to express our gratitude to our highest spending experts. Turning next to our focus on Expanding Our Reach. As I highlighted our Custom Spaces business continued to perform well in Q3 with average base value up 4.1% compared to last year, despite the macro headwinds. However, we continue to express pressure on the number of spaces customers purchased during the quarter. That said, we remain encouraged by the reception we are saying to our broader assortment, and we’re excited to introduce a new brand architecture and branding for The Container Store’s Custom Spaces in November that highlights the breadth of our offering. This included transforming what was the Custom Closets department in our stores and on our website into our Custom Spaces studio and reopening our Chicago Showroom under The Container Store Custom Spaces name. This new expression of Custom Spaces allows us to push beyond Custom Closets, and makes it clear to our customers that we can transform any area of the home. The launch of the Container Store Custom Spaces coincide with our first ever Preston event, which rewarded customers with 20% off their Preston space for making a $500 deposit towards the custom space design. We are particularly pleased with these results, with the average ticket exceeding $8,000, and more than 25% of the spaces sold being non-closet spaces, which is promising as we continue to promote and deliver Custom Spaces for all areas of the home. We’re also excited about the enhancements we’re making to our pilot program in the Chicago and Dallas market, focusing on building up our Custom Spaces businesses. In addition to servicing those markets with our own in-home installation teams inclusive of branded vehicles, we are testing different targeted marketing approaches with campaigns on connected TV, digital media, radio and direct mail, posting up various elements of the marketing mix in these 2 key markets. These market tests are providing key learnings on how we can most effectively increase awareness and lead of Custom Spaces in the future. This leads me to our store expansion plans. Our first small format store in Colorado Springs, Colorado, which opened in September 2022 continues to exceed our sales productivity expectations. And we are delighted to be experiencing similar success in our New – Salem, New Hampshire location, which opened in January. During opening [weekend selling] [ph] 70% of the customers were new to The Container Store compared to 58% during the first week of opening at Colorado Springs. So we remain excited about the prospect of attracting new customers to the brand through new store growth. Additionally, our open to-date Net Promoter Scores at both stores are quite strong at 78 for Salem, and 83 for Colorado Springs. We are on track to open our next new store in Thousand Oaks, California in early spring 2023. And we’re targeting an additional 9 new stores for the second half of fiscal 2023. These stores will be open and existing key markets and will be small format stores at approximately 12,500 square feet. We continue to expect to generate approximately $5 million in revenue per location, or about $400 per square foot in the first year with a target year one store EBITDA margin up 20%. Lastly, we’ll continue to make progress related to strengthening our capabilities. We’ve enhanced our store selling experience by rolling out new mobile express checkout to all our stores, allowing us to efficiently service more customers. And we’ve made notable upgrades to our Custom Spaces installed design tool. The tool now offers new usability features, improving the overall design experience, including a 3D design view and the ability to upsell complementary general merchandise products by adding it to the design itself. In addition, we had a total of 95 in home design specialists by the end of Q3, who collectively contributed 25% of the total custom space sales for the quarter. We believe the addition of the in-home design, its bolsters our ability to deliver an elevated experience and provide additional sales opportunities. Our continued emphasis on the custom space customer experience is reflected in the positive improvement in the Net Promoter Score for Custom Spaces, which rose an impressive 7 points from Q2 to 71. We have also continued to make enhancements to our mobile app and website, while optimizing our site speed and performance. A few highlights include improving site speed across all key pages, resulting in an average 40% improvement in response time, implementation of an online chatbot for conversational commerce flows, and an AI powered custom in-drawer organizer tool that helps you to determine how best to organize their drawers. We are pleased at the reception to these enhancements, and I’ve been gratified to see an increase in our Net Promoter Score for online transactions to 64, a 7 point rise relative to Q2. We attribute this rise to improvements in the online buying experience, including shift and buy online pickup in-store purchases. In summary, macro environment notwithstanding, we are not standing still. We remain committed to building on the momentum we’re making, executing our strategic objectives and driving towards our long-term goals. We have a flexible and agile team, a financially strong balance sheet and the ability and willingness to operate this business with great discipline as we continue to navigate this current environment. With that, I’ll hand it over to Jeff to discuss our results and outlook in more detail. Jeff?
Jeff Miller: Thank you, Satish, and good afternoon, everyone. As Satish reviewed, we delivered third quarter financial results above our expectations as we continue to navigate a challenging macro environment with great discipline, while remaining focused on our long-term strategic objectives. Consolidated net sales decreased 5.6% year-over-year to $252.2 million. By segment, net sales for The Container Store retail business were $239.3 million, a 3.8% decrease compared to $248.6 million last year. The decrease is inclusive of a comp store sales decrease of 4.3% driven by the 7.1% decline in our general merchandise categories, which negatively impacted comp store sales by 495 basis points. The performance in General Merchandise was partially offset by the increase in custom space comp store sales, which were up 2.1% compared to the fiscal 2021 and positively contributed 65 basis points to comp store sales. The sales from new stores positively contributed the remaining 50 basis points to the total 3.8% TCS net sales decline year-over-year. For the third quarter of fiscal 2022, our online channel increased 4.6% year-over-year, and our website generated sales, which includes curbside pickup increased 2.4% compared to last year. Website generated sales represented a total of 21.8% of TCS net sales in Q3 compared to 20.5% in Q3 last year. Unearned revenue decreased to $18.8 million in Q3 this year, versus $32.1 million last year, driven by the pull forward of the transform for Elfa event, and our ability to install some of those purchase spaces within the quarter combined with the pullback in customer spending that we are experiencing. Elfa third-party net sales of $13 million decreased 30.6% compared to the third quarter of fiscal 2021. Excluding the impact of foreign currency translation, Elfa third-party net sales decreased 15.8% year-over-year, primarily due to a decline in sales in the Nordic and Russian markets. From a profitability standpoint, our consolidated gross margin for Q3 was relatively flat at 56.9% compared to 57% last year. By segment, TCS gross margin decreased 10 basis points compared to last year, primarily due to more promotional discounting, including the impact of the slight pull forward of the transform with Elfa event, partially offset by favorable product and services mix. Elfa gross margin increased 570 basis points compared to last year primarily due to price increases, partially offset by higher direct material costs. Consolidated SG&A dollars increased to $121.5 million compared to $120.3 million in Q3 last year. As a percentage of sales, SG&A increased 320 basis points year-over-year to 48.2%. The increase is primarily due to the deleverage of compensation and benefits, occupancy and other costs on lower sales. Our net interest expense in the third quarter of fiscal 2022 increased 36.6% year-over-year to $4.4 million due to a higher interest rate on our term loan. The effective tax rate for the quarter was 33.8% compared to 27.9% in the third quarter last year. The increase in the effective tax rate is primarily related to the impact of discrete items on lower pre-tax income during the quarter. Net income for the quarter on a GAAP basis was $4.2 million or $0.08 per diluted share, as compared to a GAAP net income of $13.7 million or $0.27 per diluted share in the third quarter of last year. Adjusted net income was $4.1 million or $0.08 per diluted share, as compared to last year’s adjusted net income of $14.3 million or $0.28 per diluted share. Our adjusted EBITDA decreased to $22.2 million in the third quarter of this year, compared to $31.4 million in Q3 last year. Turning to our balance sheet, we ended the quarter with $5.8 million in cash, $188.6 million in total debt and total liquidity including availability on our revolving credit facilities of $96.1 million. Our current leverage ratio is 1.4 times. We ended the quarter with consolidated inventory down 3.2% compared to the third quarter last year. At TCS, on a unit basis, on-hand inventory is relatively consistent in comparison to last year, and is inclusive of an increase in safety stock levels. The expected increase of on-hand inventory did not materialize as a result of a shift in the timing of purchases associated with previously mentioned new Elfa product offerings that are expected to launch later in fiscal 2023. Looking forward and given our outlook, we expect to reduce purchases of inventory in Q4 resulted in continued year-over-year inventory declines on a unit and cost basis. Capital expenditures were $46.6 million in the first 9 months of fiscal 2022 versus $24 million in the first 9 months of last year, with the increase related primarily to investments in technology and our stores. Free cash flow in the first 9 months of this year was a use of $27.7 million versus a use of $8.4 million in the first 9 months last year. As we disclosed on our second quarter earnings call in the beginning of the third quarter, we repurchased approximately 940,000 shares for $5 million, under a Rule 10b5-1 plan. We continue to have $25 million remaining of the original $30 million authorization for share repurchases. Additional stock repurchases may be made in the open market or it could be negotiated purchases with the amount and timing determined at the company’s discretion. We do not expect to incur additional debt as a result of the stock repurchases. Now for our outlook. As Satish mentioned, in addition to the tougher macro backdrop, inclusive of FX headwinds, we are facing some unique sales headwinds in Q4. First, our decision not to anniversary the 2/22/2022 event from last year, this represents over a 200 basis point headwind to Q4 total consolidated and comparable store sales. The event last year was held in connection with the launch of our new Welcome to The Organization branding campaign and new logo and was supported by a significant marketing investment. While incrementally profitable last year, we do not believe the level of investment required to anniversary this event would yield the same customer response given the overall macro-economic backdrop. Second, we anticipate a headwind to non-comp store sales of over 200 basis points in the fourth quarter from the discontinuation of the Closet Works wholesale business. We expect this impact to continue until we anniversary the discontinuation in Q2 of fiscal year 2023. As a result for Q4 of fiscal 2022, we expect consolidated sales to be approximately $255 million to $265 million, driven primarily by comparable store sales decline in the high-single-digit to low-teens range. We expect earnings per share in the fourth quarter to be in the range of $0.10 to $0.20 per diluted share. The high end of our outlook assumes our current quarter-to-date demand trends are sustained, and our ability to accelerate the installation of spaces purchased during the transform for Elfa event. The low end of our outlook range assumes a slight deceleration of the current demand trends quarter-to-date, and the installation of Elfa spaces purchase but not installed does not accelerate. The implied year-over-year operating margin decline is expected to be more than entirely driven by SG&A due to fixed costs deleverage on lower sales. While we have taken action to pullback on certain corporate expenses and have reallocated spend due to the current economic environment, we plan to continue prudently investing in our strategic initiatives. From a gross margin perspective, favorable product mix and less promotional activity are expected to be tailwinds to gross margin in the fourth quarter. We also expect a slight benefit to gross margin in the fourth quarter from lower freight and commodity costs. Interest expense for the fourth quarter is expected to be $5 million driven by higher interest rates, and our effective tax rate is expected to be approximately 30%. Before I turn it over to the operator to open the call up for Q&A, I would like to reiterate Satish’s comments that while we are navigating an uncertain macro landscape, we have a strong balance sheet in place, and a management team committed to continue to execute with great discipline against our long-term initiatives, including our sales target of $2 billion. This concludes our prepared remarks. I’ll now turn it over to the operator to begin the Q&A session.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is from Steven Forbes with Guggenheim Partners. Please proceed with your question.
Steven Forbes: Good evening, Satish, Jeff. I wanted to start with the new format, the smaller format store concept and really as we think about next year 10 stores that your plan. It’d be helpful, because remind us, what the sort of capital spending needs are right behind this unit growth and what is the average store sort of require in terms of capital spending? And then as we think about overall CapEx, capital expenditures for next year, any framework as we think about the total spending plans for 2023, inclusive of stores plus maintenance plus any other buckets of spend?
Jeff Miller: Yeah, Steve, this is Jeff. Thanks for the question. When we were talking about the 9 new stores that we have planned for fiscal 2023, again, those for me expected to be open in the latter half of the fiscal year relatively consistent cadence throughout the back half of the year. And when we look at the capital requirements for these new stores, generally speaking, depends on where in the country we’re planning to put those stores, but roughly speaking, it’s around $3.5 million investment for a new store, assuming it’s not a build to suit. We do have a few of these that will be built to suit for next year and we continue to look for opportunities on that front to partner with landlords and be in a partnership with them for the longer term. As it relates to going out beyond 2023, we’re not necessarily speaking to that from a capital allocation, there’s a lot of things changing when you think about that. We did talk about in our path to $2 billion that CapEx generally speaking will be 5.5% and 6.5% of our projected sales moving forward and we manage our CapEx investment from that perspective.
Satish Malhotra: Hey, Steve, I just to jump in, having attended now both store openings in Colorado, and in Salem, New Hampshire, I have to say that really pleased with how these stores are performing. Yes, there are small format stores. But they’re definitely exceeding our expectations, since of productivity with really strong Net Promoter Scores, in particularly, just the customer response to our formats. It’s so encouraging to see that we’re tracking a lot of new customers. 70% as I mentioned for our Salem, New Hampshire; 58 for Colorado Springs during opening weeks [ph], and just gives us a lot of confidence, as we think about the back half and the stores that we’re going to open for fiscal 2023.
Steven Forbes: That’s exciting. And then just as a follow-up, maybe for Jeff, you talked about a gross margin, I think, gross margin during the quarter, it was nice to see the Elfa segments step back up here. So the 57%-ish gross margin profile, is that the right sort of level to think about the opportunity longer term? Can you sort of hold that level? Or maybe to speak to how we should be framing the gross margin outlook of the business over the long-term here?
Jeff Miller: Sure, Steve, when we talked about the path to $2 billion. I think we talked about the fact that – we would be targeting high-50s from a gross margin perspective throughout that time period on the path to $2 billion. And there’s a number of factors contributing to that whether it’s more heavily weighted to the custom space business, which is a huge area of opportunity for us from a growth perspective. And in the – yeah, the manufacturing now that we have depressed in line and the wood-base manufacturing going forward, we really believe that we can maintain that high-50 percentile. The other area of the business is in our private label merchandise. It’s a higher margin business on the general merchandise side. But I would say more speaking that the weighting of custom space as we lean into that area of the business is going to drive the better margins of going forward, despite having some offset with e-commerce growth and the shipping costs associated with it.
Steven Forbes: Thank you.
Operator: Thank you. Our next question is from Ryan Meyers with Lake Street Capital. Please proceed with your question.
Ryan Meyers: Hey, guys, thanks for taking my questions. First one for me just as we think about the competitive landscape, and obviously some of the trouble that one of your, call it, competitors has gone through recently. Do you feel like that this is allowing you to pick-up some market share? And then kind of, overall, how do you feel given sort of the tough macro backdrop? You guys, as a company continuing to take market share and kind of how you feel about that?
Satish Malhotra: Yeah. Hi, Ryan, I’ll take that one first. Look, I’d say it’s a bit difficult to quantify any kind of beneficial impact, especially given the democratic profile of the retailers that are having problems. But having said that look and especially given the recent addition of our Chief Merchant, we all looking at refining our assortment and looking at ways to surprise and delight our customers, in particular, with complementary products to our storage and organization categories. We’ve done that very successfully with our home fragrance and plant-based cleaning categories. And we believe there are a lot more other categories, we can go in and introduce. In addition, as Jeff mentioned just a few minutes ago, we bring a lot of innovation with our private label assortment. In particular, when you think about what we’ve done with everything organized a collection; it’s proving to be a real star for us. This is a collection that was put together in connection with our in-home organizers. And so these are very versatile units out there becoming a quick favorite of our customers. And so that’s how we kind of think about how we can take advantage of the general merchandise side of things. But truth be told, look a lot of our growth that we’re looking to be able to deliver in our path to $2 billion is really under our Custom Spaces. That’s where we believe we have a greater opportunity to go grab market share, in particular, in spaces over $2,000, it represents a significant part of that addressable $6 billion market. And we’re focusing our efforts on those premium lines, whether it’s Avera or Preston, that’s why we went through and completely redid our branding expression in-store and online, where we can easily demonstrate how we can transform any area of the home. And we’ve just been really pleased with the launch of Preston with average tickets now exceeding $8,000, and more than 25% of our space is being sold outside the closet. So that’s kind of how we look and how to understand, how to complement both infusing an element of innovation into general merchandise, but also really double downing on Custom Spaces.
Ryan Meyers: Okay. Got it. That makes sense. And then second question for me, of the 9 locations that you guys have targeted – or 9 store openings, sorry, that you guys have targeted for the second half of next fiscal year. How many of those you have actual locations identified and you’re currently working with landlords to sign leases and just kind of how that process has gone so far?
Satish Malhotra: Yeah, Ryan, all 9 locations have been specifically identified. And I believe we’ve signed 4 or 5 of the leases, and we’re in the final negotiations on the remaining. So we’re feeling pretty good about the pipeline for 2023. Of course, all things supply chain in today’s world could be moving parts to open dates, but right now, our plan dates for those 9 stores is in the back half of 2023.
Ryan Meyers: Got it. That’s it for me. Thanks, guys.
Satish Malhotra: Thanks, Ryan.
Operator: Our next question is from Chris Horvers with JPMorgan. Please proceed with your question.
Christopher Horvers: Thanks. Good evening, guys. My first question is, you sit in an interesting viewpoint in the economy at this point, you do have housing exposure, you do have a pretty wealthy customer base, considering where your geographic footprint is in your – you do sell big ticket that there’s some relationship to housing. So I was curious if you could just share high level thoughts of what you’ve observed maybe since the last time that you spoke with us on the last conference call? Do you think that is the consumer getting worse is sort of the quarter-to-date trend? It’s simply just a function of comparisons or is there some sort of change that’s going on there? Anything you can share that’d be helpful.
Satish Malhotra: Sure, Chris. We will double team this one. I will take the first part. I think, look, there’s no doubt we’re still navigating a challenging consumer environment, right, it’s impacted by the ongoing macro-related headwinds. We are seeing a decline in traffic and transactions. We’re seeing customers buying fewer items or spaces, and they are requiring a compelling reason to shop, right? One of the reasons we did see strength in our custom space business compared to our general merchandise business, which was actually up 4.1% over LY in average space value, but the number of spaces was down almost double-digits. And so we see customers willing to engage, but – and spend those dollars on the space that they’re looking for, they’re just buying less of them. Similarly, as you heard me say in my opening remarks, a Holiday Shop, which was comprised of some compelling stocking stuffers and gift wrap performed very well, comparable sales are actually over positive over LY. However, we saw less engagement with more traditional general merchandise categories like kitchen in particular. So, it’s what we find is, we need to give our customers a compelling reason to shop. If we do so, they will engage. And for customers who are looking to really take advantage of improving their Custom Spaces throughout their home they will, they’ll just buy perhaps less items of them.
Jeff Miller: Yeah, Chris, the only thing I would add to that just a little more color on our sales outlook. There’s two ways I mentioned in our opening remarks. There’s two ways we look at revenue trends. One is course to GAAP numbers that we report and track internally every day. The other piece is demand comps. And the demand is really just to define that better for you to, say, that demand comps are customer purchases, they’re tracking customer purchase, and they don’t necessarily reflect if the order has been installed or delivered to the customer from a general merchandise or custom space perspective. So, referring back to what I said in my guidance comments, the high end of our Q4 outlook assumes quarter-to-date demand comp trends sustain what we’re seeing today. And our ability to pull forward – not pulled forward, but to accelerate the installation of Custom Spaces that are placed during the quarter. And on the low end, it assumes a slight deceleration in the current quarter-to-date demand comp, and no acceleration of the installation spaces. And the other thing I would call out is, as it relates to sequential trends from Q3 to Q4, keep in mind that Q3 did benefit from an earlier start to the annual Elfa event transform for Elfa, which started 2 weeks earlier. And we talked about, of course, as well not anniversary 2/22/2022 in Q4. So there’s two things there from a trend perspective to keep in mind when looking at the comp.
Christopher Horvers: Got it. And so, just so I understand that was the pull forward in the 3Q maybe could you size that. And, if you sort of have a decelerating demand comp, should installations actually accelerate just as like the available labor pool like what’s the constraint? Is it – you maybe a more installers, where you could conclude those transaction and drain that deferred revenue?
Jeff Miller: Yeah. So I’m trying to quantify the impact of pulling forward the [transform of Elfa event] [ph] for 2 weeks, it’s difficult to measure, right? But we do believe that it helped Q3 and it could be a headwind to Q4, as it relates to the trends, when we look at it from Q3 to Q4 on the demand comp side of quarter-to-date, it’s a slight acceleration from what we saw occurring in Q3.
Christopher Horvers: Got it. And then just one quick follow-up question you talked about potential good guys in terms of freight and commodity costs, is that more showing up on the Elfa side, not the TCS side, the gross margin?
Jeff Miller: Yeah. So when you look at the gross margin for the quarter, while we did see more promotional activity this quarter and Q3, but we’ve benefited from a better mix. And to a lesser extent, we did benefit from lower freight costs, and we are seeing them come down and we expect to see more benefit in Q4 and go forward. It just takes time for us to average the lower freight costs and their inventories. And I would say that’s all in the TCS side. From an Elfa margin perspective, we saw an improvement there and that was really all driven by pricing.
Christopher Horvers: Got it. Understood. Thanks very much.
Satish Malhotra: Thanks, Chris.
Operator: Thank you. There are no further questions at this time. I’d like to turn the floor back over to Satish Malhotra for any closing comments.
Satish Malhotra: Yeah, once again, thank you so much for joining us today. We are on our mission on a path to deliver on our ambition of $2 billion in sales and we are committed to doing that. I wish you all the very great night.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.